Operator: Please standby. The Roper Industries Third Quarter 2014 Financial Results Conference Call will now begin. This call is being recorded. I will now turn the call over to John Humphrey, Chief Financial Officer.
John Humphrey: Thank you, Kayla, and thank you all for joining us this morning as we discuss the results of our record third quarter. Joining me this morning is Brian Jellison, Chairman, President and Chief Executive Officer, Paul Soni, Vice President and Controller, and Rob Crisci, who Heads our Planning and Investor Relations for us. Earlier this morning, we issued a press release announcing our financial results. Our press release also includes replay information for today's call. In addition, we have prepared slides to accompany today's call, which are available through the webcast and also on our website at www.roperind.com. Next slide, we begin with our Safe Harbor statement. During the course of today's call, we will be making forward-looking statements, which are subject to risks and uncertainties as described on this page and as further detailed in our SEC filings. You should listen to today's call in the context of that information. Now if you'll please turn to slide three, today we will be discussing our income statement results for the quarter primarily on an adjusted basis. A full reconciliation between GAAP and adjusted measures is in our press release this morning and also included as a part of this presentation and on our website. For the third quarter the difference between GAAP and adjusted results consists of two discrete items. First, a purchase accounting adjustment to acquire deferred revenue and our recent software acquisitions, FoodLink and SHP and that totals about $950,000. That's an adjustment to both revenue and operating profit. As a reminder this represents revenue that absent our acquisition those businesses would have recognized. In addition we also had an inventory related step-up charge for IPA for about $400,000. And now if you'll please turn the slide, I will turn the call over to Brian Jellison, Chairman, President and Chief Executive Officer and after his prepared remarks, we'll take questions from our telephone participants. Brian?
Brian Jellison: Good morning, everyone. If we look at this first slide here on a summary to the third quarter. At the enterprise level we had record third quarter results in all of the categories. All time record on orders and backlog, revenue, net earnings, EBITDA. One of the things that was particularly encouraging about the quarter as we've really didn't have any significant headwinds in any one of our segments. I remember last year we had difficulty with Zetec and from time to time there may be something. This quarter around we really didn't have anything at the segment level. We did have better geographic results on a broader base than we would have expected while the US was certainly up. Every place was up except for Brazil and some portions of the Middle East. Our revenue in total was up 6% with organic revenue up 4% and again, kind of broad based results, all of the segments were up. Our gross margin was up 70 basis points on the adjusted non-GAAP number to 59.4%, a little better on a GAAP basis and operating margin was up 60 basis points to 27.9%. Leverage in the quarter was 39% in keeping with our guidance of 35% or more. Net earnings were up 10% to $156 million represented $1.55. Of course the GAAP basis compared to the prior year was higher than that of 13%. Our operating cash flow was $226 million, which was a cash conversion of cash to net earnings of 145%. So it was a terrific quarter for us pretty much across the board and certainly provides a lot more assurance about us reporting our record 2014 full year. Next slide. If we look at the income statement in the quarter, orders were up 6% to $893 million. Revenue was up 6% while organic was up 4%, it will be up stronger than that in the fourth quarter. Our gross margins were up to 59.4% as we set up 70 basis points, operating income up. Our earnings before tax were up 12% to $228 million. Our tax rate was higher in the quarter from last year instead of 30.3% it was 31.3% which cost us $0.02 a share. And then you can see the net earnings number at the bottom, the diluted earnings per share and we're comparing it against our non-GAAP number last year of about 42 on a GAAP basis, we were at $1.54 against $1.36 last year. Next slide. EBITDA growth continues and our margin expansion continues. I know most people find that really remarkable, but we do have certainly some of the best operating people in the world and they continue to deliver spectacular results. In the last two years, our EBITDA is up $301 million to $1.173 billion from $872 million and our EBITDA margins have grown by 380 basis points they were 29.8% in 2012 and people telling me they would obviously max out and the direction of the mean would be taking us down to the mid 20s. Nothing could be further from the truth. We continue to grow our margins. You can see they were up to 33.6% and our gross margins similarly have expanded back in 2012 on a trailing 12 month basis at this point in the year, our gross margins were 55.2% and today our trailing 12 month gross margins are 59.3%. Next slide. If we look at the cash flow, we had better cash flow quarter here in Q3 as you can see, the important items being 145% cash conversion on operating cash flow. That $226 million represented 25.6% of revenue in the quarter and our free cash flow at $217 million represented 24.5% of free cash flow to revenue in the quarter. That brings us as you can see to $579 million on the year we would expect a strong fourth quarter so that our conversion factors stay well above the 130%. If we look at the compounding nature of cash flow which is what we get out of all of these software and medical acquisitions we've taken cash flow up from $659 million in the trailing 12 months in 2012 to $815 million this year and of course we'll have a stronger fourth quarter. It will be the 17th year in a row that our cash flow – free cash flow will exceed net earnings. Next slide. Here, if we look at the balance sheet you'll see cash grew in the quarter by $104 million. Our undrawn revolver was paid down. So despite deploying $303 million in the quarter for acquisitions, we ended the quarter with almost $2 billion in cash and undrawn revolver position, with our trailing 12 month EBITDA at $1.173 billion you can see those ratios gross debt-to-EBITDA at 2, we'd like to be higher than that. We would expect that we would easily deploy $1 billion or more in the acquisition arena in the next 12 months and it could be higher than that could reach a $1.5 billion. Next slide. Here if we look at the individual segments, they all performed well in the quarter. Next slide. The energy systems and controls we'll start with the smallest of the segments. You can see here that energy systems & controls represents about 17% of the EBITDA we get in quarter three. Its revenue was up sharply up 10% over the prior year. Operating profit was up 19%. So it had very, very outstanding leverage, only 50% leverage in the quarter. OP margin reached 28.7 and the good thing about all of that is within the fourth quarter we expect a very strong improvement in operating margins out of our energy systems segment. Orders were up terrifically, they were up over 14% in the quarter for energy. The organic revenue in the quarter you can see here was 8% with that terrific leverage. We had double-digit growth in our oil & gas products including the safety systems that are involved in fracking operations. Our Zetec business bounced back from a bad third quarter a year ago to have a much more normal quarter, so much, much improved on an easy comp basis and on the aftermarket and field service for compressor controls was particularly strong, although the large project spending decisions certainly have been slow with all the geopolitical confusion you have. But despite those geopolitical issues compressor controls bookings in the quarter were up nearly 20%. We had a modest decline in our PAC business around refinery instrumentation projects, but nothing to be alarmed about. In the fourth quarter our oil & gas products continue to perform well as this oil price indicator doesn't seem to have any elasticity effect on our businesses. Again, we're much more involved in the throughput productivity side of that than in the exploration of new well side. Very strong compressor controls aftermarket and field service would be expected in the fourth quarter and this is a segment that always has strong fourth quarter results for people that have left over MRR budgets and we would think that would be the same this year. Often that benefits our instrument sales and despite having some foreign exchange headwinds which occurred in September and will of course continue in the fourth quarter, we still see very strong sequential operating profit growth in the fourth quarter. Next slide. Here if we look at industrial technology, you can see industrial technology is up to 21% of the companies EBITDA in the quarter. It had modest revenue growth, but last year was particularly with Neptune an all-time record third quarter number, operating profit up modestly with the margin was up 200 basis points going forward from the way we look at it, it will be a much stronger margin. The Roper Pumps Directional Drilling activity continued to be just really very, very good double-digit growth. The relined activity we do in the new Houston facility that we opened last year is continuing to ramp up passing its breakeven contribution and doing extremely well now and it's going to continue to perform well in the fourth quarter. Our Cornell Pump business which is the dewatering business continues to do very well. The rental markets are up strongly and the shale and oil gas production area even though rig counts may be modest or declining in some areas it doesn't matter for us because the productivity increases that you're seeing many of these places are up 20% productivity. Our products are really required for the throughput side of the equation, so they are not influenced that much by the new rig count and much more by the throughput. Our Material Analysis business has performed well and did better in Europe than we would have expected. In fact, the overall company did better in Europe than we might have feared given the headlines you see. Neptune was down slightly in the quarter against last year’s all-time record performance, still performed very well. The five year Toronto project is a bit ahead of schedule and as we looked and talked with them we think that's probably on track to get completed some time next year, perhaps around the end of the first half of the year and we continue to develop and expand our systems capability at Neptune. And one of the great things that the technology team has done there is backward compatibility for all these enhanced systems and the result of that is that people don't have to worry about a technology migration because we're really offer them an evolution that allows them to be able to use old and new technology at the same time and we're not limited by any old networks that so many of our competitors are strangled with. Next slide. If we look at the Radio Frequency Technology segment, it had substantial order growth in our Toll & Traffic businesses. Last quarter, we talked to you about very important wins in the Henry Hudson Bridge in the San Francisco Bay Area projects and this quarter we've added to those with the Houston Grand Parkway and the Pennsylvania Turnpike Upgrades and Florida I-95 Express Lanes, all three of those will be in excess of $50 million in total. So all that bodes well for the future in 2015. And our CBORD & Horizon business had strong operating profit as recurring and maintenance revenue grew despite having lower revenue in the fewer security projects that you're seeing at the university and K-12 [ph] level. If we look to the fourth quarter, you can see that we think we'll have kind of low single digit growth compared to last years record fourth quarter, but still better than last year. We've got substantial opportunities in growth in the Intelligent Transportation Systems solution area. We've got quite a lot of bids out. We've got some significant progress we've been making on process quotes and discussions that look like it should well position us for certainly 2015. The iTrade business has been benefited by the FoodLink acquisition that we did towards the – in the third quarter. Normally, our integration process is pretty simple and the iTrade area that was an opportunity to take some cost out and to do some other thing which is are several months ahead of schedule. So we feel particularly good about how that's performing and as you can see, the Radio Frequency segment in the quarter represents a 26% of our total EBITDA. Next slide. Here as we look at our largest segment, the Medical segment, which increasingly really is around healthcare. If we look at organic growth we were up 6% in the quarter. The device side of the business was sort of low single digit growth led really by our Northern Digital as mentioned image-guided products and some consumables at CIVCO. We had great performance, just great performance in both Sunquest and MHA. Sunquest continues to drive execution around the meaningful use implementations and upgrade which is finally getting us out at some of the backlog that we had experienced last year with Sunquest. So productivity is up sharply here. And at MHA, we've got a favorable trend in basically the spending arena around long-term care pharmacies and assisted living and skilled nursing facilities. So MHA is having of course is – really both Sunquest and MHA have spectacular all time record years. We acquired Strategic Healthcare, SHP in the quarter. It's really a phenomenal business with high growth profile. It's a SaaS provider of data analytics for the post-acute healthcare organizations. These are things like home health and hospice care. It's very complimentary to what we do at MHA. And we also acquired another company, IPA Innovative Products which is the leading provider of automated surgical scrub dispensing systems for hospitals. Pretty good timeline given everything people worry about today on disease protection and they provide a lot of productivity for the surgical suite because people oftentimes can't find their uniforms, they don't have the right size, people have to wait while people bring it and these automated dispensing criteria is just facilitate that and reduce expenses almost immediately for the hospital. If we look at the fourth quarter, we've got Sunquest and MHA will continue their double-digit growth and medical devises probably going to be in the mid single digit arena, but the overall segment even with the imaging activity is expected to have double-digit segment growth in the fourth quarter. So not only do we get that, we think we'll continue to have some margin expansion and you can see that medical healthcare was up 36% or not up 36% but represented 36% of the company's EBITDA. Next slide. So if we update the guidance – next slide, we're increasing our full year guidance from $6.27 to $6.37 to $6.32 to $6.38. We started out the year with $6.05, so we're quite pleased with how the year has come on line. Our full year guidance would be to have revenue growth around 8% to 9% with organic growth around 6% to 7%. We're going to bounce back here with organic growth in the fourth quarter at 6% to 7%. Overall revenue growth in the fourth quarter expected to be 7% to8%, fortunately taxes probably going to be 32%. And then these guidance numbers include the September 30th foreign exchange rates. They don't forecast anything beyond that. Exchange hurt us a bit as in September but didn't do much for the quarter as a whole but it's a bit of a drag going into Q4. Next slide. Here if we look at the summary of the quarter, once again we achieved records in pretty much every category you can think of. The revenue up 6% with organic 4%, but we're going to have a stronger 6% to 7% Q4 organic in the fourth quarter. Gross margins at 59.4% are pretty spectacular. Operating margins at 27.9%, but the reality is we have a lot of non-cash and tangible amortization and if you look at the EBITDA performance you'll see it's even stronger. We got 39% operating leverage out of the third quarter which is quite remarkable and EBITDA almost at a $300 million clip at a third of the revenue. We deployed $300 million in attractive acquisitions. We expect to continue the capital deployment. We've got a favorable pipeline and there are quite a few things that we're working diligently on as we speak. I don't know if any of those would close within the quarter, but they are likely to close some time sooner rather than later. We've got very good year-to-date performance through the first nine months' certainly record levels of growth and record margins and cash flow. We've raised our full year guidance again and we're confirming the strong cash conversion that we talked about well above 130%. We expect a record year. And with that, we should open it up to questions, John.
John Humphrey: Okay. Kayla, so if you can start the Q&A portion of our call this morning we'd appreciate that.
Operator: Thank you. (Operator Instructions) We'll go first to Richard Eastman with Robert W. Baird.
Richard Eastman - Robert W. Baird.: Yes, good morning, Brian, John, and Rob.
John Humphrey: Good morning.
Richard Eastman - Robert W. Baird: Just for starters, could we just maybe talk a little bit to Brian about the geographic growth. You kind of touched on it in the materials analysis business. But just kind of suggested that maybe overall Europe was stronger than expected. Just maybe kind of comment on maybe what businesses in Europe surprised you positively?
Brian Jellison: Well, we had pretty deep growth everywhere in the quarter. I mean, nothing spectacular, but the only places we were down was Brazil where we expected to be and some of the things in the Middle East which are really slow just because of the political environment and decision making, but our positions are good and solid. Everywhere else grew. So Asia was up double-digits, Europe was up 3%, Canada despite some last minute currency pressure was still up in the low single digits and the US was up a little over 5%. So you know about 65% of revenue is still domestic if you will and about 35% outside North America used to be closer to 40, but as Sunquest and MHA are essentially US businesses. So that affects the thing. But the core underlying businesses are doing well globally, really other than Japan don't have any softness anywhere in Asia. Europe's industrial activity was where we were kind of pleasantly surprised. We did particularly well in Germany and given the things that you're seeing about Germany that was – and we felt good about that and orders were strong there, and then medical did particularly well in Europe against its normal outcome.
Richard Eastman - Robert W. Baird: And just from the M&A pipeline, in the M&A pipeline, what – are you seeing a lot of opportunities that are non-medical, the scientific?
Brian Jellison: Well, we see a lot and pursue a lot of things that are SaaS based or licensed software that we look at and those fall into very different categories. I mean, one of the things we're doing now would look more like an extension of Inovonics, which is our security business that has some very unique technology of the pendants if you look at the product fall and can't get our pendant lines of activities that we have that we don't talk a lot about. So there are sometimes things in that arena that we look at. In the industrial arena, we still really haven't seen anything that would fit our cash return on investment methodology. We're getting very strong GAAP based EPS performance out of fluid handling and when we look at other people stuff we just don't see people that have our margins. Our EBITDA margins in that segment are above 30% and most of the stuff we see comes in with gross margins at 30 and EBITDA margins at 16 and it depends on other people increasing demand to create any real leverage in the business.
Richard Eastman - Robert W. Baird: I see. Okay, very good. Well, thank you and congrats. Nice quarter.
Brian Jellison: Thank you.
Operator: We'll take our next question from Christopher Glynn with Oppenheimer.
Christopher Glynn - Oppenheimer: Thanks, good morning.
Brian Jellison: Good morning.
Christopher Glynn - Oppenheimer: As we look into next year, it seems like you have some nice momentum carrying through with tolling projects and the medical SaaS businesses, then there's some concern of the oil & gas markets idea, that spending might be hitting a plateau. You gave some color Brian, but maybe you could just give a deeper diagnosis of that market?
Brian Jellison: Yeah, I think the thing that was encouraging about the third quarter was CCC was basically up 20% in orders and that's an area that you would be concerned about two factors. One, geopolitical risk with Russian sanctions and anybody serving anything going into those markets and then price elasticity around Brent and WTI crude or are you worried then about rig counts being less growth even than they were. Well, it turns out you know, all of our stuff is productivity related and so it's aftermarket activity or it's improving throughput. We had a very strong Cornell pump business growth with dewatering pumps. Well, if your productivity and if you read almost anything you'll see that things like Eagle Ford, their productivity is up 20%. Well that measures throughput and they need our dewatering activity for that throughput increase. So it's less dependent on new rig counts and more dependent on throughput. Price elasticity again it’s really about usually other people’s consumption of energy and their production process. So they are still interested and that going down. So we really haven't seen any early indicators either in an industrial or an energy platform that would cause us to be concerned at this point about 2015. I think that particularly with Europe up somewhat in the quarter, that we just don't see an area of softness.
Christopher Glynn - Oppenheimer: That sounds good. And then just another area of the portfolio, since you had the new investment there for iTrade. Can you kind of update us on what you're seeing for adoption and penetration trends, market share for that platform?
John Humphrey: You know, iTrade continues to perform really well particularly in the US and their order management system. That's been the – and that was really the main reason that we acquired iTrade was because of the – what we thought were favorable trends in order management being able to more seamlessly connect the supply chain for fresh and perishable goods and the grocery chain and that is continuing to prove out to be the case. We've really refocused that business more on the US market and they kind of started to go outside the US and I think they got a little over their skis in terms of capability to deliver while they still had a – quite a bit of addressable market here in the US. So they are growing very nicely in the US, outside the US not quite as much and we really think that the Foodlink acquisition and the capabilities beyond the supplier side, all the way back to the farm and the organic farmer side will really help extend the offerings that iTrade is going to be able to have. So we're encouraged by the progress there.
Christopher Glynn - Oppenheimer: Thanks, John.
John Humphrey: Yeah.
Operator: We'll go next to Jeff Sprague with Vertical Research Partners.
Jeff Sprague - Vertical Research Partners: Thank you. Good morning, gentlemen.
John Humphrey: Good morning.
Jeff Sprague - Vertical Research Partners: Just on the deals that you closed in the third quarter, could you just give us a little bit more color on the acquired revenues or the acquired EBITDA, how to think about the multiples, how to think about kind of an accretion profile into 2015?
John Humphrey: Sure. So we invested about $300 million in these three acquisitions between FoodLink, IPA, and SHP, and in total, we expect them to deliver in the high $20 million range in our first year of ownership. So we paid about 11 time, a little bit less 11 – little bit less than 11 times first year EBITDA and given the profile for these types of businesses, extremely asset light, high amount of recurring revenue, software type of margin profile, we think that we paid a fair price, but a very good price. So we're encouraged about that. In terms of revenue, and these are going to have I think after the amortization charges it will probably be similar to the Roper margin profile. So I think you're looking at somewhere in the $75 million range for first year revenue.
Jeff Sprague - Vertical Research Partners: Okay. Great. Thank you.
Brian Jellison: And we also have a cash and tax benefit that accretes…
John Humphrey : Yeah, there's a modest cash tax benefit included in that $300 million, maybe $10 million or so.
Jeff Sprague - Vertical Research Partners: Okay. Great. And on the other side, Brian, this has been raised on prior calls, right, and you've got some really good assets and selling incomes with dilution and things like that. But you know I've heard a little bit of chatter. I don't know how real it is, but maybe on the pump side you guys might be looking to shed something there. How should we think about the other side of kind of managing the portfolio and to your point, some of the stuff is going for high multiples and it's not maybe great assets, you've got some very good assets that perhaps will touch a very solid multiple in this consolidating environment that we're seeing?
Brian Jellison: Pretty much all the businesses are pretty good, as you say. I mean, we have only just a few product lines that are things that we wish were not part of the portfolio, but there are only a few of those. I think we do get bids from time-to-time from people about certain assets every once in awhile, we pursue then as a rule. It's hard to ever see those divestitures come to fruition because the after tax contribution is not a shareholder friendly result, right. So, if we were going to divest anything we'd want to assure ourselves that the cash from the disposition had an immediate and great home, I'm sure that there are some assets we own that, you know, would perform as well as they do with us in another place or if you have an asset that has maybe growth characteristics, but it's a very dilutive cash return profile and somebody else wants to invest in it and has a lot of synergies with it and we can get a fair price for it then we're certainly not above disposing of some of those kind of things. And I think a lot of people – our acquisition activity is just very intense and pricing is pretty high. So there are people who call us about possible divestures who wouldn't have called in the past as they are finding how much these things are really worth and they can't find anything else and ours are so much better. So it's certainly possible that you could see some portfolio adjustment in the next year.
Jeff Sprague - Vertical Research Partners: Thank you. I was wondering if I could just slip one more in. Could you elaborate on what you said about security projects and I think you said K-12 in colleges [ph] are you seeing some cyclical let up there or is it is just kind of the programmatic nature of some of those projects, just kind of the state of those markets?
Brian Jellison: Yeah. It's really at CBORD & Horizon where CBORD in particular we had the one car technology that does everything on the campus or healthcare environment and they had some particularly big transactions the last large one I think was Northeastern University up there. That sort of cycling out and the university and healthcare campus activity decisions are really slow. So quotations are there. And what happens on the projects is there is some throughput of other people’s security hardware in addition to our systems. And so if you don't get that, which we didn't have in the third quarter much of, it brings down the revenue, but actually we had better operating results because the software portion and the license maintenance activity is at much higher margins. So what we were just trying to reflect is it didn't look like revenue was really strong, but actually the OP was quite strong.
Jeff Sprague - Vertical Research Partners: Okay. Thank you.
John Humphrey: And at the end of the day I mean, just to elaborate on that a little bit, at the end of the day CBORD is a software business. I mean, we do sell-through hardware in order to facilitate some of the security applications, but fundamentally, we look at the software and the maintenance revenue and the new license revenue out of that business as the ongoing health and growth of that business and with the lumpy projects around security that we'll add on top of that. And as Brian said we're very encouraged by the nice growth in the maintenance revenue which is really their installed base and the annuity that comes along with everything they are providing for those customers.
Jeff Sprague - Vertical Research Partners: Okay. Thanks.
Operator: We'll go next to Joe Ritchie with Goldman Sachs.
Joe Ritchie - Goldman Sachs: Hi. Good morning, everyone and nice quarter.
Brian Jellison: Thank you.
John Humphrey: Thank you. Good morning, Joe.
Joe Ritchie - Goldman Sachs: My first question is this one, I'm trying to square your comments on energy, our energy team today came out with a price deck, a WTI price deck of sub 80 for next year and Brian you mentioned in your prepared comments that large projects continue to get deferred. But the bookings were really strong in compressor controls and frankly across the rest of your business. So, I'm just trying to just better understand the resiliency of compressor controls, Roper Pump, Cornell, and perhaps maybe if you could set the context how much of your business is aftermarket versus OE related that would be helpful?
John Humphrey: Well, let me address the second one first and I'm basically going to address it by saying we're going have to get back to you and we don't really think of it as OE and aftermarket as much as looking at our total exposure to oil & gas knowing that most of our applications are around throughput and efficiency and quality, whether it be in the refinery side for instrumentation that are measuring quality or throughput inefficiency like our compressor controls business. We'd have a few modest applications that are more on the upstream side, but they are on the upstream production side, things like diesel engine, shut off valves, and dewatering pumps, because there's quite a bit of water that's used even on the production side in addition to the exploration side. Very little of what we have I mean, is just kind of thinking through it. Very little goes to OEMs per se other then of course knowing you have drilling people who are doing drilling applications or production applications that I guess could be qualified as an OEM, but it's not really an OEM the way I think of it in terms of larger automotive type markets. It doesn't feel like that to me as we go through all of our businesses. And then as far as the outlook on crude oil prices, I mean, we really don't see an awful lot of that. Most of the areas where we've seen delays or at least slower decision making for some of those large projects, I think they are more geopolitical in nature rather than price of oil in nature. Brazil has been slower to make decisions around some of those things. Some areas of the Middle East not quite as fast on making some investments as what we might have expected. But it doesn't change the fact that energy is still doing extremely well. Our total oil and gas related businesses, I don't have it at my finger tips, but they were clearly up in the quarter and up on a year-to-date basis despite seeing the oil price start to come down. So, it's something that we're keeping an eye on. We definitely benefit by having very lien, very nimble organizations that could act quickly, but at this point, we still see more opportunities than we see on the risk side.
Joe Ritchie - Goldman Sachs: Okay. That's helpful color, John. And maybe one follow-up. Brian, you mentioned earlier you talked about a $1 billion to a $1.5 billion in deals over the next 12 months. Clearly interest rates have moved lower again, valuations look more reasonable. Are you seeing any greater competition at this point and maybe you could just try to compare it versus what you've seen over the next – over last 6 to 12 months?
Brian Jellison: I don't see that. Interest rates for the M&A market haven't had any material change. I mean, if there's anything, it would be a little bit of people yelling at the banks that they are seven and eight types debt stables are a little out of control and maybe some of the European banks that have been doing that routinely should think about it. But the reality is we still see ridiculous amounts of debt financing on every transaction. We never see anything that’s less than seven times stable debt, despite what other people are saying it shouldn't be above five or six what is, it’s a lot above it. And there's a lot of private money available that's still happy to go in at sort of 5% kind of interest rates and still a lot of pick. So prices are as high as they've ever been. There's a huge amount of stuff for sale. I mean, we have gone through more conversations this year with people than we've ever done in our history and still it's just their – just a huge amount of them. I mean, we'll be out tomorrow and we'll be out Wednesday on two more where management presentations are very robust. I don't think private equity has pulled back by one penny. I think some of the strategics have sort of given up. But the kind of things we are looking at investing in are things that really want to be part of our company because of the nature in which we manage it and the governance process and the freedom and entrepreneurial people have to survive here. So we're not seeing any problem with the pipeline. We would like to make a larger acquisition than we have, but there are certainly no shortage of $2 million, $3 million, $4 million, $500 million transactions in front of us and the larger ones still such a frothy ability to issue equity that every – all the sellers who continue to talk to us haven't decided what they're going to do. But I think it's going to be easy for us to deploy quite a bit of capital here in the next 12 months in very attractive businesses.
Joe Ritchie - Goldman Sachs: Helpful, Brian. Thanks for taking my questions. I'll get back in queue.
Brian Jellison: Yeah.
Operator: We'll go next to Steve Tusa with JPMorgan.
Steve Tusa - JP Morgan: Hi, good morning.
Brian Jellison: Hey good morning, Steve.
Steve Tusa - JP Morgan: Just fourth quarter free cash flow and kind of the year number, what do you expect there for free cash flow percent net income?
Brian Jellison: Well, I think I don't know for the full year it should be 130%. I guess I'd have to see that for the fourth quarter.
John Humphrey: Yeah, fourth quarter should be in the range of $250 million of operating cash flow and let me take 10 off for CapEx, so that's how we spend on a per quarter basis. So we'll spend $40 million of CapEx roughly this year. So that I think keeps our full year operating cash flow conversion well above 130%.
Steve Tusa - JP Morgan: Okay. And then just for next year, these deals you did, I think you answered this in Jeff's question maybe, but it would be the accretion for next year, is like $0.10 to $0.15 the right kind of number for those deals you've closed recently do you have kind of you know, booked and locked in for next year?
John Humphrey: No, it’s…
Brian Jellison: Just think about the way we think about it, right. So, we think about cash accretion, so on cash these are sort of very high margin businesses and they are growing rapidly and they are going contribute a good deal in cash in 2015.
Steve Tusa - JP Morgan: Okay.
Brian Jellison: On what some up based EPS number it is, is far less critical than whether the quality of the earnings and cash that they generate is pretty good. Johns talking about them being in the high $20 plus million of EBITDA. And so you can figure that out. If you care about a GAAP base EPS number, you can do the math. But we care about their compounding cash growth and they are going contribute well in excess of $25 million of EBITDA in 2015.
Steve Tusa - JP Morgan: So, the $0.10 to $0.15 converts at a higher rate or kind of the normal 130% rate?
Brian Jellison: On a GAAP EPS base, it's going to have a lot of…
Steve Tusa - JP Morgan: Yeah, free cash flow, right.
John Humphrey: Yeah, it will be in that same range. When the nature of this right of course we have non-cash amortization charges…
Steve Tusa - JP Morgan: Sure.
John Humphrey: And you always need to add those thing and tax effect those, but then add those back and so that gives us the natural increase in our operating cash flow well above the net earnings contribution.
Steve Tusa - JP Morgan: Right. Okay, perfect. Thanks.
Operator: We'll go next to John Quealy with Canaccord Genuity.
John Quealy - Canaccord Genuity: Hi, good morning. First question in the Industrial business you talked about Neptune down from tough comps. Can you talk about mix of business generally? I know there's more of a technology high margin spend in this space now with flow meters and a lot of the RFs going to slightly different permutations. So if you could just comment a little bit on Neptune mix that would be great?
John Humphrey: Sure. I mean, the general trend in the industry is clearly is to purchase meters along with the technology embedded in that. So it's not too completely different streams and oftentimes you have water utilities that will decide to upgrade a project. And so you'll have collectors, as well as devises to be able to collect that information. So you have the collectors that will gather the readings and send them back to the central office and also mobile communication devises. But as a rule, most of the revenue for Neptune is going to be the meter technology, plus the radio and embedded encoder technology. So you can gather all that information and be able to send it back to someone. And usually those are not purchased separately. And so we're having a split, I mean, still over two thirds probably closer to 75% of the new shipments for Neptune, the new revenue is the integrated meter or some integrated technology rather than just a meter that goes out that's still being direct read. And so that's where we see the market continuing to trend with the total systems purchase rather than the individual pieces.
Brian Jellison: Yeah, let me just make it clear that. That I wouldn't accept the premise that Neptune's down. We just said that they had an all-time record quarter in the third quarter of last year, so might be down a $1 million or $1.5 million compared to the prior period. But they are going to have likely a record year this year and they are having a very strong first nine months of the year and then they are going to do okay in the fourth quarter. So let's be careful about how we phrase that compared to the competitive marketplace out there with other people who have old technology and have pretty mediocre revenue.
John Quealy - Canaccord Genuity: Yeah, I know that's fair. I'm just going off slide 12. And so lastly on my – the Medical and Scientific Imaging, I'm sorry if you mentioned this, geographic splits there, is that primarily North America or anything else internationally? Thank you.
John Humphrey: Sure. I mean, for this segment in total, it's not at all much very dissimilar. What you have is our medical products and medical software businesses, Sunquest and MHA, as well as our Verathon and other businesses. Those are probably a little more skewed to the United States. But our Imaging businesses are more global in nature. So when you look at the segment in total it's about 70% US, 30% outside the US, but the differentiation there is that our outside the US portion is more imaging in our camera businesses rather than our medical businesses. That's still – and we're growing very nicely in medical even with US focus and still see the international opportunities still ahead of us.
John Quealy - Canaccord Genuity: Thank you.
Operator: We'll go next to Alex Blanton with Clear Harbor Asset Management.
Alex Blanton - Clear Harbor Asset Management.: Good morning.
John Humphrey: Hi. Good morning, Alex.
Alex Blanton - Clear Harbor Asset Management: Can you hear me?
John Humphrey: Yeah.
Alex Blanton - Clear Harbor Asset Management: I wanted to go back to this question of the $1 billion to $1.5 billion that you hope to spend in the next 12 months. How much have you spent this year? Do we have that total?
John Humphrey: $303 million I think.
Alex Blanton - Clear Harbor Asset Management: That's it for this year? So far…
John Humphrey: Yeah, we didn't spend anything the first half of the year and we did the $303 million in the third quarter.
Alex Blanton - Clear Harbor Asset Management: So that really explains why when you're looking at the growth for the year, you've got 6% to 7% forecast organic and 8% to 9% total. So you really haven't added all that much revenue this year to the total. When we talk about next year what would be, do you have any idea of the timing of that spend whether it's in the beginning of the year or the end of the year and in other words what's it going to add to revenue?
John Humphrey: We will really never know the timing, Alex. I mean, we had the diligence that we do is very time consuming and everybody that's been through our process understands. So while we can process a lot of stuff simultaneously. We're almost always looking at least four things at any point in time and you just never know whether they get into the finish line. We don't have a budget for acquisitions and we always want to do the best thing as opposed to just doing something. So when you get to acquire something like IPA and SHP, I mean, we have one of the thought leaders in the world with probably running SHP and some phenomenal business very, very, very exciting for us to do that and we could have done a couple of other things that would have had larger revenue, but don't have the compound cash growth that we like. So it's very important for the acquired management team to be able to fit into our culture. People have a good deal of freedom, but for the same token they've got to have a thorough understanding of cash return and where we want to exploit multiple channels of distribution and how we think pricing should go and how you should invest in R&D. And candidly most people don't have those values. They just wait for cyclical markets to change. But our people have to really evolve markets and they've got to have a long-term view of what it is they're doing because they are the ones that are driving the applications in the marketplace.
Alex Blanton - Clear Harbor Asset Management: You alluded to the fact that you are looking at companies who really want to join Roper as opposed to some big industrial conglomerate or whatever. But if they are owned by private equity investors, do they really have the say in who they want to be bought by?
John Humphrey: Well some do some don't. It really depends on – when the private equity guys own the business, if the management team will not convey to a new private equity owner then the private equity guys have to behave very differently. Sometimes the management people have a desire to go through and 5 year situation where they can't invest in the future and hope for an exit that will be okay, but the kind of people that want to work here don't think that way. They've been inside private equity for awhile. They want to invest to grow their business over the long-term and we're a great home for people who want to invest and grow over the long-term.
Alex Blanton - Clear Harbor Asset Management: One more follow-up. Roper Pump is ramping up in Houston. What's the capacity utilization now? In other words how much further can you ramp it?
John Humphrey: Oh! We could double certainly from where it is today. Its got – it has some sophisticated process equipment that's running three shifts, but most of the activity is only on a one or a shift and a half basis and the people that we're providing product to are releasing more and more of their content and a lot of what they are doing in Houston is called relining of these drill bits. And so, it's not – you know, and the answer, it’s really on the exploration side that has to drive their growth as long as they're continuing to operate. These things have got to come back to be willing because they wear and that’s the Houston thing is a big relining operation.
Alex Blanton - Clear Harbor Asset Management: Okay. Thank you.
John Humphrey: Welcome.
Operator: That will end our question-and-answer session for this call. We now return back to John Humphrey for any closing remarks.
John Humphrey: Thank you, Kayla, and thank you all for joining us. We look forward to talking to you in late January when we release our fourth quarter numbers.
Operator: This concludes today’s conference. Thank you for your participation.